Per Plotnikof: Hello, everyone, and welcome to this presentation of ALK's Q2 results and the revised full year outlook. Thank you all for joining us. Let's turn to Slide #2 with an intro to the agenda and the speakers. My name is Per Plotnikof, I'm Head of Investor Relations. And with me today are CEO, Peter Halling; and CFO, Claus Steensen Solje. We will first be sharing a couple of highlights from Q2 followed by a closer look at market and product trends as well as half year financials. We will then provide an update on resources and on the pediatric agenda, our neffy partnership and other strategic priorities before we present the updated full year outlook. As usual, we will end the presentation with a Q&A session. And to get started, I'll hand over to Peter, Slide 3 for the highlights. Please go ahead, Peter.
Peter Halling: Thank you, Per, and thank you all for joining this call. Commercial execution of the key strategic initiatives, including the launches, was on top of our. These initiatives started contributing to sales growth in Q2, although they are still all in early stage. The initiatives have come on a good start and this bodes well for a capabilities. for children with House's vitality is progressing well and have continued to exceed expectations. We also started the launch of the tablet for children and adolescents with pre in European markets and Canada to secure the tablets are available for the coming for initiation season. Moreover, we launched the neffy Adrenalin spray in Germany, the first EU market entry. Additional launches are lined up for the second half year, including the important U.K. market, where Euro neffy was recently approved. Across markets, the initial feedback from stakeholders is very encouraging. In the U.S., we entered a co-promotion deal with ARS Pharma, enabling us to establish a new pediatric sales force to promote both neffy and in the future ALK's respiratory tablets around safety salespeople have now been onboarded, trained and are fully deployed in the field. Marketing expansion also continued in other geographies. I'll detail this later. Q2 results exceeded expectations. Back in Q1, we expected revenue growth to soften temporarily due to lower shipments to international markets and destocking at European tablet wholesalers. Instead, we saw over 12% revenue growth driven by adrenaline auto-injectors and the improved momentum for the ACARIZAX tablet in the house dust mite AIT market in Europe. Q2 earnings improved by 41% in local currencies to DKK 375 million, yielding an EBIT margin of 25%. Progress was driven by sales growth, gross margin improvements and last year's optimization and partization initiatives, which generated savings of more than DKK 300 million throughout 2025. These savings are allowing us to pursue strategic priorities more vigorously this year without jeopardizing earnings improvements. We also expect the improved sales momentum to continue into the second half year. Consequently, we operated the full year outlook last week. We now expect full year revenue to grow by 12% to 14%, while we maintain the EBIT margin outlook as we intend to allocate additional funds to growth initiatives. We remain optimistic about the remainder of the year despite global unrest and from tariff wars. With this intro, I'll hand it over to you, Claus, and the market trends on Slide 4.
Claus Steensen Solje: Thank you, Peter. Let's take a closer look at the performance in our sales regions. Our main region reported 13% growth. Revenue exceeded our expectations driven by better-than-expected sales of anaphylaxis products and tablets. Tablet sales in Europe increased by 17% on broad-based growth across counties. We saw a reduced impact from price and rebate adjustments meaning that growth was mainly driven by the plus 10% increase in new patients during the 2024-'25 initiation season and growth was by a steady inflow of new ACARIZAX patients in France, Germany, Eastern Europe and other markets. The new pediatric indication for ACARIZAX contributed positively to revenue growth by the contribution from the new ITULAZAX children approvals was modest, reflecting the early stage of the ongoing launches. Q2 Tablet sales growth was similar to Q1, even though the impact from inventory buildups at wholesalers in markets like Germany and France is estimated to have declined in Q2. This highlights the improved momentum for tablets in Europe, and we expect this momentum to continue into the second half year. Combined sales of SCIT and SLIT-drops grew by 1%. SLIT-drops drop sales continued to increase in France, where SCIT sales fell short of expectations with a modest decrease. This decrease was partly due to fewer new patients and partly due to a reduced impact from price and rebate adjustments compared to previous years. Sales of other products were up by 51% in Europe, led by a 62% growth in the anaphylaxis portfolio. Sales of our adrenaline auto-injector text benefited from strong commercial execution and favorable market dynamics, including supply issues from our competitors. Revenue also included neffy revenue from pipeline filling ahead of the launch in Germany. Revenue in North America increased by 17%. The U.S. sales continue to bounce back from last year's stagnation as we benefited from a range of initiatives to rebuild growth across product lines. The tablet business in Canada also did well with growth rates exceeding those in the U.S.A. Tablet growth in North America grew by 32%. The new pediatric indication for data, our house dust mite tablet in the U.S. led to a higher uptake, especially among allergists and to a minor extent, new pediatric prescribers. New pediatric indications also contributed to growth in Canada. North America -- North American sales of SCIT bulk increased by 2%, while sales of other products increased by 23%. Moving to international markets. Revenue grew modestly by 1%, reflected leasing of product shipments to China. After the recent renewal of ALK's import lines, we've assumed SCIT shipment to China in Q2, but shipments as expected, were at a lower level than last year, so SCIT revenue in the region decreased by 20%. But Chinese in-market sales of SCIT continued to grow by double digits based on existing wholesaler inventories. Tablet revenue in international market was up by 9%. The primary market, Japan delivered low double-digit revenue growth from royalties and shipments, although capacity constraints still prevent our partner towing from fully meeting demand. We expect to start operations of the new API manufacturing facility in Q3 with a view to roughly doubling capacity and then incrementally increase market supply of CEDARCURE tablets. Now let's turn to the product lines on Slide 5. Tablet revenue was up 16% on good performance in all 3 sales regions. Growth was predominantly driven by higher volumes linked to more patients. Revenue from SCIT and SLIT-drops was down 1%. Performance was impacted by fewer shipments to China and the decline in European SCIT shares. These factors were then partly offset by growing SLIT-drops sales in France and increasing SCIT bulk sales in North America. Global revenue from other products increased by 30% to DKK 250 million. The anaphylaxis portfolio led the way with 56% growth. Jext did very well in Europe, and neffy also contributed, including a minor estimated cost reimbursement from ARS Pharma related to the new co-promotion agreement in the U.S. We also saw a good performance from other products in the U.S., including and life science products. After these quarterly updates, let's move to the half year results on Slide 6. Revenue was up 12% in local currencies and exceeded DKK 3 billion. Top line growth mainly reflected growth in tablet and Jext sales. The gross profit of DKK 2 billion yielded a gross margin of 66%, an improvement of 2 percentage points. We increased mirrored volume growth, changes to the sales mix and various production efficiencies, partly offset by higher input costs. Capacity costs decreased by 1% in local currencies to DKK 1,167 million, following last year's optimization and privatization initiatives where we downsized operations in certain markets and further adjusted the organization in China. R&D expense grew by 8%, while other capacity cost declined so that the overall capacity cost to revenue ratio decreased by 5 percentage points to 38%. However, please also bear in mind that some phasing of activities contributed to this development. In the second half of the year, we plan to increase our spending linked to the key product launches. The operating profit EBIT was up 46% in local currencies to DKK 844 million, raising the EBIT margin from 21% to 28% the first half year despite a little currency headwind. Progress was driven by higher sales, gross margin improvement and lower capacity costs. No one-off costs to optimization efforts were recognized obviously to last year where one-offs amounted to DKK 38 million. Free cash flow doubled to DKK 546 million as higher earnings offset planned changes in working capital and investments to build up tablet production and upgrade legacy production. Some of the cash generated is used to repay loans, bringing the net debt-to-EBITDA ratio down to 0.1%, highlighting that we have that we do not have any debt at this stage. Cash flow also included USD 5 million in milestone payment to ARS Pharma related to the first commercial sales of Euro neffy. All in all, the best half year performance so far. So with this, back to you, Peter, and Slide 7, for an update on the strategy execution.
Peter Halling: Thanks, Claus. Let me kick off the strategy section by providing some insight into the ongoing launches of our respiratory tablets for children. I'll start with the house dust mite branded ACARIZAX in Europe and ODACTRA in North America. At the end of Q2, the house dust mite tablet children had been launched in 10 European markets, 2 North American markets served directly by Elk as well as 3 Southeast Asian markets served by our. Market Access processes -- sorry, market access processes are well underway in other countries. So additional market launches are planned for the second half year and the rollout continues into 2026. In Q2, we also started to roll out the 3 pollen tablet named ACARIZAX, tablet for young children and adolescents age 5 to 17. This tablet is approved by 17 EU countries and Switzerland, Canada and the U.K., and it's launched in 9 of these markets. Our first goal is to build a solid prescriber base ahead of the main initiation season, which typically starts in late Q3. Over the next 6 to 10 months, we plan to launch ACARIZAX and ITULAZAX in 10 additional EU and non-EU markets, depending on the local market access conclusions. So far, the key indicators continue to exceed expectations. This includes endorsement from key opinion leaders numbers of confirmed doctor visits, number of prescribers and the number of patients starting the treatment. In June, more than 2,000 prescribers were estimated to have prescribed the tablets for children and markets served directly by ALK. It is still early days, but the market response is encouraging. We expect to see a steady growth in the patient and prescriber base in the second half year. As the rollout of the 2 key tablets, primarily focused on our existing tablet prescribers, we are also working on mobilizing new prescribers, not at least in the pediatric field and pushing the halo effects from having a complete tablet portfolio, which covers both the common respiratory allergies and is now indicated for all age groups in relevant markets, attracting more patients and opening the doors to more prescribers is key for our goal to make the pediatric segment an important catalyst for ALK's continued long-term growth. Slide 8, please. If we move to anaphylaxis and our efforts to commercialize Euro neffy, the first and only approved nasal spray for emergency treatment of acute allergic reactions. We launched our neffy in Germany in June the first market interest since the EU approval. Furthermore, we secured regulatory approval in U.K., currently Europe's and the U.K.'s largest anaphylaxis market that we plan to launch later this year once local market access has been settled. We are also in an ongoing regulatory review in Canada, where we expect to now come around year-end. Going forward, we see the Germany, the U.K. and Canada as cornerstones for neffy. Market access negotiations span in the other EU countries and our price premium relative to an auto-injectors has so far been secured in Germany and Slovenia, the first 2 markets to settle price and reimbursement. The initial response to our prelaunch and launch activities is very encouraging, and the medical community takes a substantial interest in this new treatment concept. However, I also want to emphasize that we do expect it will take some time to build the sales momentum and change long-standing automated prescription patterns. Our market building activities, including working with key opinion leaders, including guideline authors presentations at scientific conferences, scientific papers digital engagement with HCPs, methods to engage new customer groups as well as efforts to activate patents. Besides the U.K., EU and Canada, we also intend to make neffy available in other territories covered by our license agreements with ARS Pharma. We are planning up to 15 additional European launches over the next 6 to 12 months. And we are also looking into making the product available in a number of international markets outside of Europe and North America. Moreover, we have applied for approval of a 1 milligram version of the spray in Europe, which will be aimed at small children. In Q2, we entered into an additional agreement with to co-promote neffy to more than 9,000 U.S. pediatricians. The agreement has allowed us to build a dedicated U.S. pediatric sales force in a balanced way. Balance way meaning performance-based cost and revenue sharing with ARS. This sales force is now fully deployed in the field and fully focused on delivering results for Q3 and onwards. Slide 9, please. The Q2 report provides a detailed account on execution of the allergy strategy. So let me just highlight a few additional hotspots starting with the ongoing expansion in select geographies. As Claus mentioned, our Japanese partner to reexpect to start operations at a new API manufacturing facility in Q3 with a view of incrementally increasing market supply of CEDARCURE tablets. As announced in May, Torii has been acquired and will become a subsidiary of Consequently, the new owner is in the process of dissolving its current partnership with one of our competitors. The new owner will focus exclusively on ALK's tablets going forward, meaning that all activities going forward are planned, including the Phase III registration starting with ACARIZAX tablet, which is now recruiting patients. We've also seen positive progress in the U.K. where ITULAZAX tablet is about to become accessible through the public NHS system in England, Wales and Northern Ireland following a recent endorsement from the influential NICE Institute. In Q1, ACARIZAX was the fourth AIT product to be recommended by NICE and we intend to make submissions to extend that approval to improve the children indication and to make Grasex widely available general reimbursement in the U.K. The tablet submission to the public health care systems represent a paradigm shift in the market. A market where IT is significantly underutilized. Our combination of tablets and anaphylaxis products will hopefully lead to sizable synergies. However, building this market remains a long-haul effort. In China, we still expect to initiate the Phase III bridging study for ACARIZAX in Q3, while in the U.S. new pediatric sales force is medium-term expected to provide attractive synergies for the respiratory tablet portfolio. The new sales force or the addition of new salespeople will also pay ALK for entry into food allergy. Moving to food allergy. We completed patient recruitment for the Phase II trial of the allergy tablet ahead of target. 150 subjects were enrolled in this trial, which is expected to report top line data in the first half of 2026. Subsequently, we are planning to move this program into Phase III. And in the wider allergy space, work continues to develop treatments for adjacent disease areas through in-house innovation, licensing and partnerships. Our partner, ARS Pharma, is currently recruiting patients for a Phase IIb trial to investigate neffy and its efficacy in acute flares associated with chronic spontaneous carrier, also known as CSC. Every indication would be a very good fit in our portfolio. Our agreement with ARS Pharma grants ALK exclusive rights on this and on any other new indications with the product. So all in all, we are well on track with our strategy, and we look forward to sharing additional progress. With this, I'll hand it back to you, Claus, and the outlook on Slide 10.
Claus Steensen Solje: Thank you, Peter. Last week, on August 12, we upgraded the full year revenue outlook. We now expect revenue to grow by 12% to 14%, up from the previous outlook of 9% to 13% growth. The upgrade was prompted by better-than-expected performance in Q2 and an improved outlook for the remainder of the year. We see a good momentum for tablets and anaphylaxis products in Europe will continue into the second half year, supported by solid growth in North American tablet sales. Moreover, the new outlook reflects reduced market risk in Europe for the remainder of 2025 although we believe these are still key risk for next year. The higher-than-expected revenue gives us opportunities to further invest in cost initiatives without jeopardizing our very important 25 in 25 ambition. We will take advantage of the opportunities. Capacity costs will therefore be higher in the second half year than in the first half year, and we still expect the full year EBIT margin to be 25%. Let me take you through some of the key assumptions. We expect full year tablet sales to grow by solid double digits, driven by more patients, including children and adolescents. Children are now expected to contribute with more than 1 percentage point of the total growth. We still expect a reduced impact from pricing and rebate adjustments compared to last year. Combined SCIT and SLIT-drops sales are still objected to grow by single digits. Better uptake of SLIT-drops in France will be partly offset by lower SCIT sales in Europe. Timing of SCIT shipments in China may impact growth in international markets in the second half. Sales of other products are projected to grow by solid double digits driven by the anaphylaxis portfolio. UAV-related revenue is expected to start contributing to the growth in the second half year, including a minor contribution from a co-promotion deal in the U.S.A. The Trump Administration's new tariff agreements with the EU and other countries are expected to be manageable. In first half year, more than 80% of our revenue in the U.S.A. comes from products that are sourced locally produced locally and sold in a closed local ecosystem. Hence, our exposure to the new tariffs is expected to be emitted. The gross margin is projected to further improve. Higher revenue mix changes and efficiencies will drive the margin upwards, but the improvements will be somewhat offset by higher input costs and the impact of the Euro neffy in-licensing deal. R&D expenses are expected to increase by double digit, but will remain at around 10% of the planned revenue. Sales, marketing and administration costs are projected to increase by single digits, while no one-off cost optimizations are planned for. We believe this new outlook adequately balances risk and upside. Hence, we expect 2025 to mark the seventh consecutive year of revenue growth and improved earnings fully in line with our long-term financial targets. With this, I would like to hand it back to Per and Slide 11.
Per Plotnikof: Thank you, Claus, and thank you, Peter. We will now move into the Q&A session. I kindly ask the operator to go ahead.
Operator: [Operator Instructions] And the first question comes from Thomas Bowers with SEB.
Thomas Schultz Bowers: So 3 questions from my side here. So if we just start with the Euro neffy tablets growth. So what part of -- how much of this is actually driving the guidance upgrade? You had, I think it was around EUR 50 million or 1 percentage point growth contribution included in the initial guidance. So can you maybe just add a bit of color on the expected full year outlook? And then second question, just moving to Japan. So with the H1 phasing, we have seen, should we still expect a step up here in the second half especially with the supply constraints to be sold in the third quarter and maybe also some impact from with the takeover of divestment of the tablet from And then last question regarding the U.S. or North America. So a very strong quarter for tablets. That, of course, as you mentioned, some stockpiling in Canada for. But are you also seeing similar, you could say, early traction with the pediatricians as you do in Europe for. I mean, is that the case also for the U.S. market in particular?
Peter Halling: Thanks, Thomas. Peter speaking. I'll hand it over to Claus on the tablets in Europe, but just by saying it's the majority obviously. But Claus, you want to add a bit more flavor on this, and I'll take Japan and North America.
Claus Steensen Solje: I can do that. And I think you actually answered it very well very quicker because you're right. If you look at the EU tablet, of course, that is, as we have said, that's a big part of the increase in our guidance upgrade. So the midpoint, as you can see, is kind of moved by the 2 percentage points. And a large part of that is the tablets driving that on a company basis. We have seen now that the children launches will be approximately a bit more than 1%, adding to the -- of the total growth coming in. So it is actually a big part of this. It's important to understand, we're only talking about a the house dust mite where we have included that because we can see in the numbers that is starting to take up the ITULAZAX or the treat children, we had not changed our outlook on right now, it's still the plans that we had in the plan when we did the Q1 that we are still left in there until we start to see some indications on that one. So related to the upgrade, it's a big part coming from the EU tablet and here by ACARIZAX for children.
Peter Halling: On Japan, the question around Torii capacity and then Shionogi. So the capacity is coming online. As you know, this is a product set up where the APIs need to go through kind of the usual production cycles. So we don't expect a significant contribution yet, but we do expect that this is obviously going to be a step in the right direction. So we haven't added a lot on top it also needs to start up. But we do expect this will obviously improve the supply situation in Japan going forward, which is very positive as well. Those tablets have been restricted by supplier, and this should alleviate some of that. To your question around no then Sanofi. Sanofi in a grace period, if you wish. So basically in the interim between the full acquisition by Sanofi, which is expected to fall in place in the beginning -- in the early beginning of next year, January, February. This is as much as we know, in green continues as is. And then Sanofi will take over and also do the transition from the existing products to the Torii portfolio, meaning ours. So we expect that to move forward as planned next year. North America, you're right. We are happy with what we've seen. I think it's still premature to say that it's ongoing and continued momentum. We are also coming from place in terms of the norms. But obviously, we are pleased to see that the allergists in the U.S. and the allergists in Canada and pediatricians are really starting to embrace ODACTRA, especially for children. So all in all, that is obviously positive, but something we hope will be sustained in the coming quarters as well. And then we are hoping going forward that the inclusion of the salespeople that we hired for neffy, also bringing in tablets to the portfolio there can be helping the business on the tablet side. So all in all, a good start in North America, early days, but positive.
Operator: Your next question comes from Michael Novod with Nordea.
Michael Novod: A few questions from my side as well. So first of all, SCIT and SLIT. You try to sort of give a framework for how you see this business going forward in terms of growth or no growth in SCIT, SLIT, that would be very interesting. And then also on your neffy, as you said during the prepared remarks, we should remember that this is sort of a gradual launch, but can you try to sort of detail a bit more when you see sort of the strongest traction starting to come, how long time do you believe it takes for sort of convincing prescribers to go for this product compared to Jackson other products? .
Peter Halling: Okay. Thanks, Michael. And let me start out here on both and then Claus and here I can turn. So I think it's important to say when we look at the SCIT and SLIT and as who you are talking about, when we actually see a cannibalization of injectable sales with the tablets moving forward. There's always a risk, but we have different segments. So a large portion of our SCIT portfolio today is also Venom products and other indications than the traditional major allergy is like 3 polygraphs and obviously, house dust mite. But in those specific areas, we will see some cannibalization, but we believe it's the right way of moving forward. This is also where we believe we stand strong from a competitive standpoint. In the U.S., like Venom and like many of the other indications where we don't have tablets, we continue to focus on this. And far specifically, I have to know is a different market, the second biggest in Europe, but a different market where the drops are playing a big role. And when we actually see the combination of drops and tablets are working well with the expansion at the clinics. So the short answer is there will be a very limited or limited effect outside of the major indications and the major ones, we still come from a somewhat lower number. So all in all, we are positive that it's a market expansion game that we're looking at another cannibalization game going forward. On the neffy, the gradual launch. I think there's 2 ways a number of ways are looking at this, but I'll split it for you in this. There's obviously the market expansion in terms of new patients coming in. And there, it will obviously be important to have educated the prescribers in terms of the product, so they understand how it works, et cetera. And that's a key thing, and that is ongoing for us. So that's one aspect. The other aspect is what we would call the switching. So basically, people who are already prescribed on a pen that leads to then switch and some of this is automated. So typically, what you see here in the back-to-school season is that there will be a lot of automatic renewals. And that is where we need to position neffy as the opportunity or option going forward. When will that happen? That's a very good question. I think we are obviously learning from what we're seeing in the U.S., that's a great way of doing it. But it will take some time, and we expect that obviously to start picking up throughout '26. But we are still early days, and we still have a lot to learn. So I'm a little careful in terms of giving you exact viewpoints on that. But we do believe there's a pickup. I can say, we have very encouraging support from the community, including doctors, KOLs, patient organizations, et cetera, around the product stronger than what we've seen otherwise for any other product. But moving from there on to then having the switching happening is still the next step, and that's what we need to see in the coming quarters. So stay tuned, we'll offer more information as we learn. But I think we are off to a decent start there.
Operator: And your next question comes from Ben Jackson with Jefferies. .
Benjamin Jackson: Great. Two from me. Firstly, is it possible just to quantify the tailwinds that you believe that you've got from the competitor supply issues for Jext. And then as we think forward, are you assuming any of this carries through into the second half of the year, either that the competitor supply issues continuing or keeping the market share that you've gained as a result of that? What are the assumptions are built in there? And could it be great? . And then secondly, could see that the peanut recruitment was ahead of schedule. Anything to read into this little I suspect not, but color that you're hearing would be great. And then also, does this affect any of your financial budgeting with regards to either this year or next year?
Peter Halling: Thanks, Ben. Claus will you take a Jext. I will do that.
Claus Steensen Solje: Thanks, Ben. Thanks for the question. The Jext part, you're right that we were helped here, especially in Q2 by some of our competitors that could not deliver, especially one. Of course, we were capitalizing on that, and we did everything we can to capitalize on that from a business perspective, of course, and also a patient perspective, something like this happen. We, of course, move fast and see what we can do both to patients, but also to take some extra market share and to make the sales out there. I have to say there was already an underlying strong growth uptake in the first half year. So I think that's a positive, but it was now reinforced by this one competitor that could not deliver. Related -- regarding your question about if there's a carryover to second half of the year, then we do not expect that. And the reason is actually that the competitors is now back and starting to deliver already in Q1. So that they should be able to serve some of our patients. Of course, we will do what we can to maintain some of the patients. But still, since this is a system where we are basically our person is going down to the doctor and the prescription is already locked into a certain product then it will just carry it to now the competitive product going forward. But of course, we will do whatever we can to focus on this and see if we can keep the market share. But we don't see anything in second half from this competitor being disrupted.
Peter Halling: Yes. And then on the question, Per, do you want to jump in on this?
Per Plotnikof: Thanks, Ben. So it's true that we saw a good momentum in the patient recruitment here over the recent months, which met that we could also recruit ahead of our original target. But of course, that gives hopefully good robustness in the data. We had an original target of 125 patients. Now we're at 150. So everything equals that improves the robustness of the data. We expect, as Peter said, to see the top line results from this Phase II H1 next year, so not too far away. So now, of course, super excited to see the results. On your question on the R&D extra costs related to this, the answer is yes, there is a small increase in R&D as a consequence of these additional patients. But it's nothing real big numbers and still will be kept within the guidance of around 10% of the sales. But I think more towards DKK 10 million or so in R&D, that comes on top because we have these additional patients in. So still a relatively limited impact. Does that answer your question, Ben?
Benjamin Jackson: Super clear.
Operator: And your next question comes from Sushila Hernandez with Van Lanschot Kempen.
Sushila Hernandez: I have a few. So neffy, just to clarify, you did not -- you did not expect to see already the strong back-to-school seasonality in Europe. And then on the peanut allergy Phase II study, could you remind us again what kind of data can we expect in H1 and top line data? And then on the bridging trial in China. And China, in general, will you be looking for here?
Peter Halling: Can you please repeat as there was a little bit of a fallout here in the room?
Sushila Hernandez: Okay, sure. So on neffy, just to clarify, so you do not expect to already see a strong back-to-school momentum in Europe this year. And then on the peanut allergy study, could you remind us again what kind of data can we expect in the first half of next year to the top line? And then on China, will you be looking for partnering here? Could you just remind you of the late status there?
Peter Halling: Thanks, Sushila. This is Peter. I'll answer. On the neffy back-to-school, no, we do not expect to see a large implication, and it's back to my earlier answer to Michael around the switching and the automated renewals as part of it. And on top of it, we are only in Germany here in Europe. And then obviously, in the U.S., we basically started out in late June into early July, we still have a lot of prescribers to reach. It's different from ARS that are in a different situation. So I just want to make sure we make that clarification. I'm not answering on behalf of ARS on this one. This is solely on ALK. On the data on the peanut, do you want to comment on this?
Per Plotnikof: Yes. So I mean, this is a so-called Phase II safety and efficacy study where we investigate no different doses of against the placebo as well as 2 different treatment regimen, i.e., 2 different up-dosing phases. So what we are looking for is, of course, to see a clinical signal that our tablet works. And also that we will learn something about what's the number of updosing, that's what's dose that we will bring in Phase III, which if everything goes well, will be initiated as quickly as possible after the Phase II. So around year turn next year, if things go well, of course. So -- but first and foremost, a clinical signal that the drug works and of course, then being able to select the dose for Phase III.
Peter Halling: Yes. your question on China, focus for in China is twofold. One is the upcoming initiation season, ensuring that we get the number of patients we need getting product back to China as planned. And then obviously, secondly, ensuring that we continue setting up the trial for ACARIZAX with the incentive approval in the late '20s for that product. So that remains the focus in China. And then in general, around partnerships, around the world anywhere, we are looking to expand and continue growing the business also through partnerships. So whatever is best for the business in any country region, we'll be looking at that as an opportunity.
Operator: [Operator Instructions] And your next question comes from Jesper Ilsoe with DNB Carnegie.
Jesper Ilsøe: Two questions from my side, one on Japan and one on neffy. So just going back to sort of the dynamics in H2 and also here in H1. Can you just explain why these shipments are increasing so much here in H1? And also on top of that, just some thoughts from your side on sort of the momentum going into '26, given we know that there will be a supply expansion for CEDARCURE. So should we expect another step-up in shipments here in '26 as well? And then for neffy, just perhaps some additional color on the high price premium you guide in Germany with more than 100% above the other injectables. So just whether this potentially changes how you -- I know it's early stage, but changes how you view the sales potential for this product long term in the EU and in Canada. Because if you just do the very simple math, a higher price should also lead to higher peak sales potential given similar unchanged volumes. So just perspectives on that could be helpful.
Peter Halling: Sure. So Claus, you want to take the one on Japan on the shipments, and then I can answer on neffy.
Claus Steensen Solje: Yes. I'll do that. We actually didn't have a significant shipment here in the first half of the year to Japan other than you would normally see in our shipment patterns that are changing, you can say, quarter-on-quarter depending on what are they calling, what are we sending out there and so on. The important thing is, as we said, that we are seeing double-digit in market growth with them as it stands right now. In '26, you are right. We are, of course, expecting now they are have final their API facility, and we can -- we are also helping with that and start working on it that we can start to see increased shipments here in the second half of the year and into to '26, especially. It will not be that significant in Q3, Q4, but we should hopefully start to see more into the first half of '26.
Peter Halling: Great. And then on neffy and the prices, I mean, obviously, we are satisfied with the price level in Europe so far. Do remember there's a number of factors playing into how we set the price for the product, stability and shelf life are key to the price points in Europe, double packs as well. And consequently, it's the list price and not necessarily the final and negotiated price coming in. So there's a multitude of factors playing into to the price. But we are happy with where the price is and also I believe it's the right level for a product like neffy. Then in terms of the long-term implications, that's always difficult to assess. But obviously, if we can keep this, and we can also keep volumes, it will be good for the case. But it's very, very early days, and we need to see that it's sustainable also longer term. So I think if you can repeat the question in a year's time, yes, but then there have been -- we might be able to give you a little more precise answer.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Per Plotnikof for any closing remarks.
Per Plotnikof: Thank you very much, and thank you for all the good questions as usual. And before we end the call, I'd just like to direct your attention to the coming Q2 roadshow, which will take us Paris and London. We will also have additional events lined up in the near future. As it appears on this slide. We, of course, hope to see you in 1 or 2 of these events. Alternatively, as always, you are most welcome to contact us if you have additional questions. And with this, we will end today's session, and we wish you all a good day. Goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.